Operator: Good day, everyone, and welcome to the Essential Utilities Incorporated Full Year 2020 Earnings Call. Today's call is being recorded. At this time, I would like to turn the conference over to Brian Dingerdissen. Please go ahead, sir.
Brian Dingerdissen: Thank you, Christy. Good morning, everyone, and thank you for joining us for Essential Utilities 2020 Full Year Earnings Call. I'm Brian Dingerdissen, Vice President, Chief of Staff and Head of Investor Relations. If you did not receive a copy of the press release, you can find it by visiting the Investor Relations section of our website. The slides that we will be referencing and the webcast of this event can also be found on our website. Here is our forward-looking statement. As a reminder, some of the matters discussed during this call may include forward-looking statements that involve risks, uncertainties and other factors that may cause the actual results to be materially different from any future results expressed or implied such forward-looking statements. Please refer to our most recent 10-Q, 10-K and other SEC filings for a description of such risks and uncertainties. During the course of this call, reference may be made to certain non-GAAP financial measures. A reconciliation of these non-GAAP to GAAP financial measures is included at the end of the presentation and also in the Investor Relations section of our website. After the formal presentation, we will open the call for questions. Here's our agenda for the call today. We'll start with Chris Franklin, our Chairman and CEO, who will provide a company update on our successes in 2020, including our municipal acquisition program. Next, Dan Schuller, our CFO, will discuss our fourth quarter and full year financial results. Chris will then conclude the presentation with a review of our guidance. At the conclusion, we will open the call for questions. With that, I would like to turn the call over to Chris Franklin.
Chris Franklin: Thanks, Brian, and good morning, everyone. Thanks for joining us today. Let me start with the discussion of the impact of this bitter-cold winter weather that so many of us experienced in February. And in terms of the impact on our operation, it's really been a tale of two cities. And start in Texas. First, our hearts go out to those who were impacted and were living it for days without electric and water service, some frigid temperatures, particularly last week. Water systems and wastewater systems are highly dependent on power to operate our pumps and our plants. So when the power went out in Texas, many of our community well systems went down as well. In fact, at the peak of the winter weather, we had approximately two-thirds of our Texas customers impacted, which is largely due to those rolling blackouts we heard or brownouts. As we – as the power went down, and then we've restored and then we had to go back out again once the rolling ground went through. We quickly activated our incident command system to marshal the necessary resources to bring service back to our customers as quickly as possible. We brought in teams from our other state operations to supplement the Texas workforce, and they also brought with them supplies like bottle water, repair materials, and equipment to supplement what we had in Texas. We always think about it. But as our employees were working to restore service to our customers, they themselves were dealing with personal hardships resulting from the storm too. I'd like to thank those dedicated employees and contractors that worked around the clock to restore service to customers. While we still have some systems under boiled water advisories in Texas, at this point, I'm proud to say that, we have nearly all service restored, only one system left impacted, and we're working as quickly as we can to restore there as well. Just to remind you that, we don't have natural gas customers in Texas, and so there were no financial or operational impacts to our natural gas customers, which are in Pennsylvania, Kentucky, and West Virginia. Now, I mentioned the impact of the weather was a tale of two cities. And despite the extreme cold temperatures here in the Mid-Atlantic, where the majority of our operations are, we had very good news this winter, particularly in Pennsylvania, where we have been replacing water mains for nearly 30 years now. We really saw the benefit of that investment over the last few weeks and last few months even. It's impressive to see that even during a difficult winter we're seeing fairly low numbers of main breaks. As a result, we have fewer service disruptions and less overtime than we had in previous years. As you can see by the chart on the right here, there is real benefit to investing in infrastructure. All right. Let's talk about some of the 2020 highlights. We invested about $900 million in infrastructure in the communities we serve during 2020, of which $53.5 million was invested by Peoples in the first quarter before we owned the company. This is once again a record amount of capital spending for our company. On a non-GAAP basis, adjusted income per share was $1.58 for the year, up 7.5%. Dan will take you through more details around that when we present the financial results. Our municipal acquisition strategy remained strong with six signed municipal agreements pending closing, totaling $438 million in purchase price. And finally coupled with organic growth, the company increased its water and wastewater customer base by 2% and increased its rate base by 9.6%, ending the year with nearly 1.8 million customers and 8 billion in rate base across our regulated segments, a very good year. All right. On the next slide here, you can see a more comprehensive summary of the execution of our 2020 objectives. These were the 3 primary themes we set for 2020. We've talked with you before about this. You saw in our investor event. And despite the challenges of 2020, we still delivered on all 3 of these objectives in one of the most historic years of our company. Throughout the year, we adapted our new combined water and gas business to overcome the effects of a pandemic. And through the dedication and resiliency of our people, we remain focused on the mission of providing essential natural resources to our customers. As I mentioned, our commitment to infrastructure improvement drove us to executing a record investment, ensuring that our customers had safe and reliable service. Now, as we approach our 1-year anniversary of the closing of the Peoples transaction, I'm pleased to report that we have successfully integrated our employees and customers, and we will continue to work to adopt the best practices from both utilities across the platform. I feel confident that our team's integration experience and expertise will prove invaluable as we continue to acquire water utilities across our footprint and beyond. And here's a reminder of the municipal acquisitions we closed in 2020 for our regulated water segment. The 6 acquisitions include Campbell Water System. You've seen that one before in Ohio; East Norriton Wastewater system in Pennsylvania; Rockwell Utilities, that's water and wastewater in Illinois; New Garden, that's wastewater in Pennsylvania; and a small one in North Carolina called Doug Wood Knowles. Together, these acquisitions added over 12,000 customers and nearly $63 million in rate base. Combined with organic growth, the company increased its customer base by over 20,500 customers in 2020. Here on this slide, we updated it since our presentation at the guidance event, you can see that we now have 6 municipal acquisitions that have been signed and are pending closing. The addition of Willistown Township in Pennsylvania, which we announced just last month, along with the other transaction will add close to 227,000 customers or customer equivalents when closed. It's important to think about this. Based on the approximate rate base of $438 million, these signed agreements are expected to generate about $22 million of incremental annual income when they're fully earning, and these are great examples of our acquisition strategy at work, and we look forward to serving these communities and having them join the Essential family. Now DELCORA is never far from our minds, and I'm sure not from yours when you think about Aqua and Essential. Let's bring you up to date. You'll recall that we received a very favorable ruling in late December from the Pennsylvania common case court judge in a lawsuit with Delaware County. And subsequently, we appealed that decision; and in January, the PUC administrative law judge recommended that the transaction will be denied for 3 reasons, right? The first reason was, we had some outstanding municipal interveners. Second reason was they felt that we didn't include a rate stabilization plan in our application, and the third one was the ongoing litigation with the county. So, since the ALJ issued the recommendation, we have made significant progress in trying to remedy these situations, these issues, and several municipal interveners have already withdrawn from the process. We've been in constructive conversations with the remaining municipal interveners, and we are hopeful and optimistic that they will also withdraw before the Pennsylvania Public Utility Commission rules on the case. We've also taken measures to address the argument, that we don't have a rate stabilization plan. And we feel good about the progress on that issue as well. Now, Pennsylvania PUC is expected to render their decision at one of the two regularly scheduled public meetings in March. So we'll stay tuned. With that, Dan, I'll turn it over to you.
Dan Schuller: Thanks, Chris, and good morning, everyone. Before we go to the full year, let's start by taking a few minutes to review the fourth quarter highlights. We had revenues of $474 million, up $248 million from $226 million last year. The natural gas business contributed $240.6 million of that revenue increase. This figure includes the impact of $18.9 million in rate credits provided to natural gas utility customers as a condition of the Pennsylvania PUC approval of the Peoples acquisition. And it also includes $92.8 million in purchased gas costs incurred in the quarter. O&M increased to $157.2 million, up from $85.3 million in the fourth quarter of last year. Again, this was primarily a result of the addition of natural gas operations and maintenance expenses of $72.6 million. Net income increased from $64.2 million to $102.7 million. And GAAP EPS was up from $0.28 to $0.40 as compared to the fourth quarter last year. Adjusted income was up from $61.4 million to $116.2 million. And adjusted income per share increased from $0.34 to $0.46. Next, let's discuss the full year financial highlights. As Chris noted earlier, 2020 was a very strong year, one we achieved or overachieved our financial objectives in light of the pandemic. We ended the year with over $1.46 billion in revenue, up 64.4% from $889.7 million last year. The natural gas business contributed approximately $521 million of this revenue growth. Adjusted revenue for the year was $1.49 billion, which excludes approximately $23 million of rate credits issued to water and natural gas utility customers, as a condition of the Pennsylvania PUC approval of the Peoples acquisition. O&M increased by 58.7% from $333.1 million to $528.6 million. This was primarily a result of the addition of the natural gas operations and maintenance expenses. We'll discuss that further, when we show the O&M waterfall. Net income was up 26.9% year-over-year, from $224.5 million to $284.8 million. And GAAP EPS increased by 7.7% to $1.12. After adjusting for transaction-related expenses, rate credits issued to utility customers and adding the pro forma adjustment for the normalized first quarter gas results. Adjusted income was up from $139.6 million -- sorry, it was up $139.6 million or 53%. And adjusted income per share was up 7.5% from $1.47 to $1.58, the top end of our $1.53 to $1.58 guidance range. As we noted in our guidance call, strong water usage contributed incremental earnings in 2020. It got us think about a normalized $1.56 or so, as a baseline for future earnings growth. Next, let's walk through the details in the following waterfall slides, starting with revenue. In 2020, revenues increased $573 million or 64.4% on a GAAP basis, of which $520.9 million was related to our natural gas segment. This figure includes $165.7 million of gas costs and the impact of $18.9 million of rate credits to those natural gas customers. Rates and surcharges, increased volume and growth from our regulated water segment provided an additional $59.8 million towards the revenue increase, which was then offset by $4.1 million of rate credits issued to the water utility customers. The $15.7 million increase due to volume reflects both water consumption and wastewater volumes. Let's review water consumption on the next slide. We've been talking about consumption since COVID started because, frankly, we didn't know exactly what to expect when we went into the situation last March. In the fourth quarter, overall usage was down 0.9%, however, we continue to see strong residential usage, which was up 2.7%, offsetting the declines in the other customer classes. As we review 2020 versus 2019 and consider the impact of COVID-19 on our business, for the full year, we saw that residential water consumption increased close to 6% with more people working from home and with favorable weather. This increase more than offset the declines in the commercial and industrial customer classes, both declining about 6% versus prior year. So, overall, for the year, usage was up 0.8%. Next, let's talk a little about weather and gas usage for the Peoples business. As a reminder, a heating degree day is a measurement designed to quantify the demand for energy needed to heat a building. It's a number of degrees that a day's average temperature is below 65 degrees Fahrenheit. As you can see on the chart on the left, 2020 started out relatively warm with below normal heating degree days in January and February. The chart on the right shows how Peoples residential gas consumption in Pennsylvania was distributed throughout the year. And in 2020, about 78% of the gas was sold in the first and fourth quarters of the year, right, those cold seasons. This winter for Peoples Natural Gas, year-to-date weather through February is projected to be 3.9% colder-than-normal, based on actual weather through February 21. This compares favorably to last year's mild winter, when year-to-date weather through February was 12% warmer than normal. But do recall that our 2020 adjusted income includes a normalized first quarter. Really normalized for the first 75 days where we didn't own the business. Next, let's move on to O&M expenses. Look at the waterfall; you will see that the addition of Peoples’ O&M of $199.9 million is the primary reason for the increase in O&M expenses for the year. Other contributing drivers include COVID-related expenses for our water segment, including COVID-related employee costs, growth and normal employee-related costs, which were then offset primarily by savings in other costs, which reflect a number of one-time items. Next, we'll spend some time on the earnings per share waterfall. Bridging between GAAP and adjusted figures for 2019 and 2020, you will notice that GAAP EPS in 2019 was $1.04 by adding back the almost $0.44 from the Peoples-related transaction costs and the dilutive effect of the equity offering, brought us to $1.47 per share on an adjusted income basis for 2019. Continuing to the right, the Peoples, including the full year pro forma adjustment added $0.21, followed by regulated water segment rates and surcharges expenses, volume and growth, which together contributed over $0.20. These were then offset by $0.31 from other items, such as increased depreciation, amortization and interest, as well as decreased Aqua Pennsylvania tax repair benefits relative to last year. So this then results in $1.58 for the adjusted income per share for 2020. Continuing to the right, the $1.58 is then impacted negatively by almost $0.32 related to Peoples full year pro-forma adjustment, approximately $0.08 from Peoples transaction costs and $0.06 for the rate credits we discussed previously, resulting in the $1.12 of earnings per share on a GAAP basis that we mentioned right at the beginning. Before getting the call back to Chris, I want to take a moment to provide an update on the Peoples tax repair filing. Recently, we reached a verbal settlement on the key issues with the parties in the case, and we'll file a settlement agreement on March 11. Consistent with the party's positions, we'll give the tax repair benefits, the tax benefits related to catch-up adjustment back to our natural gas customers in the form of a credit over a five-year time frame. This outcome should not have an impact on earnings. Rather than using a portion of the catch-up deduction to stay out longer as originally proposed, we’re filing our next rate case on a more normal cadence. After review by the ALJ and the PUC, we expect a PUC order in the second quarter. However, there's no statutory time line for this proceeding. And being respectful of the process, this is really about as much detail as we can go into at this point. With that, I'd like to turn the call back over to Chris to speak about our 2021 priorities and guidance.
Chris Franklin: The unflappable, Dan Schuller. I passed to you a slide earlier. I skipped over an important slide. Well done. I won't go back to that slide, but it's in the deck. You've all seen it. Other than to point out that we have a nice, strong pipeline, and we're in current discussions with systems that total over 375,000 customers. So we feel very, very good about the pipeline of acquisitions -- municipal acquisitions. And we still remain confident that the fact that we have fair market value in eight states where we do business will continue to be a main driver of that healthy pipeline. And so let me come back now to the proper slide. Our 2021 priorities, so let's take a look at these priorities. They're very similar to what we saw in 2020. We intend to remain focused on integration, growth and operational excellence this year, 2021. I'd tell you that the emphasis on operational excellence and ensuring quality service is ingrained in our culture. And it's part of our history at Essential. And so we'll work to instill those same values in our new colleagues that join us from each of the acquisitions that we do once they're integrated. We'll remain focused on our capital program that continuously improves our customer experience, and we'll continue to build on the strong ESG initiatives that we announced earlier in the year. Let's talk about guidance now. This slide is just a reminder of what we've shown you already. Adjusted income is expected to be $1.64 to $1.69 per share. Our capital plans include spending of about $1 billion on regulated infrastructure this year and nearly $3 billion in 2020 -- between now and 2023. About rate base growth is expected to be 6% to 7% for water, 8% to 10% for gas. Customer growth is expected to be between 2% and 3% on average for our regulated water segment. And lastly, we said achievable, I think you would agree, yet aggressive ESG targets, including a 60% reduction in our greenhouse gas emissions by 2035, using 2019, as our baseline, and we'll continue to work to ensure that our water throughout our entire footprint, never exceeds 13 parts per trillion of PFAS. And finally, as we approach our one-year anniversary as Essential Utilities, we're reminded that our 135-year old company has now been on the New York Stock Exchange for 50 years. Our company remains strong and dedicated to our mission of providing essential natural resources to our water, wastewater and natural gas customers, and we believe we're well positioned to play a critical role in solving our country's infrastructure challenges while recognizing our responsibility to keep rates affordable and to be an industry leader in protecting the environment. So that concludes our formal remarks, and we are happy to take questions from here.
Operator: Thank you. [Operator Instructions] The first question we have today is from Insoo Kim from Goldman Sachs. Your line is open.
Insoo Kim: Hey, thank you.
Chris Franklin: Hey, Insoo.
Insoo Kim: Hey, good morning. It does seem like ages ago when we met in [indiscernible] the last Analyst Day last year.
Chris Franklin: It’s a while.
Insoo Kim: It definitely feels like a while. My first question is regarding Texas. I know Texas for your water business is about 6% of rate base or sale of the total water rate base, but could you just give a little bit more detail on the type of costs that were incurred through the past couple of weeks and the regulatory process of recovery and all of that.
Chris Franklin: Sure. Yes. I think from the ability to recover, our operations team really did an exemplary job, and it was across the platform. We had people from our purchasing group looking at where you can purse fuel and generators moving. We had the pallets of bottled water communities and equipment all brought in and teams brought in as well. So I thought the response was exemplary given the circumstances of the closure of roads and the ice conditions and everything else. So, we feel very, very confident that we did a nice job there. Now in terms of cost, I would not call the cost material costs. These things we did to recover will capture. We always do – we're used to capturing these costs as a result of summer storms, typically hurricanes and others. So this is not unusual for us. And in terms of – we shut down our delinquency on our customers in Texas for a while so that they weren't getting phone calls about late bills, we'll turn that back on soon. We wouldn't expect a major impact there either. And so, I don't expect there to be a material impact, but let me pass to Dan here to get his opinion as well.
Dan Schuller: Yes. I think, Chris, you're right on. And then just to give you a sense of it, think of Texas has about $4.5 million a month in revenue, so if we lose a few days there because customers are using less water, it's just not a material impact on the overall Essential business. And as you started out and Chris added, we are aggregating these costs, be they non-capitalized repair costs or overtime expenses or bottled water, and we'll look to recover them just like we have for hurricanes and so forth in the past.
Chris Franklin: Just one last thing to add to that. The impact really wasn't about our system not being winterized all. It was really about lack of power, and so when the lines went down the cold snap, we did have some main breaks, but we didn't have major pump houses or wells go down.
Dan Schuller: Yes. And maybe one thing to add to that, Chris, too, as we think about powering those warehouses and such. And so we've got contracted power in place with one of the major players for wholesale power that covers the majority of our systems in Texas, and then other systems just get power from local [indiscernible] authorities, but all under regulated rates. So when you see things on the news with very high electric bills, we've been insulated from those peak-type electric prices. 
Insoo Kim: Got it. And if you're saying the costs weren't that material, I guess when we think about the 2021 guidance and the midpoint of that, you feel you will still be able to weather this and meet that guidance? 
Chris Franklin: That's correct. 
Dan Schuller: Yes.
Insoo Kim: Got it. Just one more broader question then sticking to Texas. Just given – I acknowledge, I think a lot of the issues that happened were because of the electrical outages. But do you think that out of all of this, does it present to you from your standpoint an increased CapEx opportunity in this state or potentially just an increased focus on expanding our footprint there? 
Chris Franklin: Well, I think there's a key consideration. Only the question when you have a series of community well systems throughout a state like we do in Texas, North Carolina, even Virginia, the question is how many standby generators do you purchase and keep it ready? We typically regionalize those, and then we move them to storm zones and position them well before storms and that sort of thing. But we don't have one per system, and I'm not sure that that's the prescription here either.  But I think it's safe to say that we'll want to go and get more generators, there was that natural rub between a regulator saying, how much you're really going to spend for a generator that sits there, a huge percentage of its time and is never used. The regional approach seems like a good approach, but you have an event like this, you could certainly make an argument that we should own more generators. And so, I think there are capital opportunities there and we'll pursue those. And then the ongoing capital that we were spending even prior to the storm is I put in escada category, which is our ability to operate or sense when a well house is down out of power where in some cases that you remotely control it. But that was already work in progress. And so, that will be capital that we'll be spending in addition. 
Insoo Kim: Got it. Thank you so much.
Chris Franklin: You bet.
Operator: And next, we'll go to – sorry, just one moment. And next, we'll go to Ryan Connors from Boenning and Scattergood. Your line is open.
Chris Franklin: Hey, Ryan.
Ryan Connors: Good morning. Thanks for taking my questions. I hadn't intended to ask about Texas, but since you're on the topic, just bigger picture, there's a lot of talk about how this situation there is sort of indicative of a broader problem with the grid in terms of reliability, more renewables being less reliable and so forth. So, if you look at your states that are material to the earnings stream, do you have any other vulnerability in any other states where something like that could happen that there might be an impact?
Chris Franklin: Yes. It's a good question. I'm going to say, not that I'm aware of today. We're largely in PJM up here, not in ERCOT. But I think the -- if you think about this storm as a never before, then you say what else could happen, and it's a good time to revisit these things and say, okay, one of the once in 100 years or 500 year issues that we should be thinking about and be prepared for. But -- and that's my initial thoughts. Dan, do you have something to add to that?
Dan Schuller: Yes. And I think, Ryan, ERCOT is a different market, right? It's an energy market. I believe tier thought is that when power was needed, someone would show up to deliver that power, but they didn't really regulate those power producers and the power producers who didn't have to weatherize or winterize their equipment, that led to problems. Most of the power producers in ERCOT, who don't have to hold firm capacity on pipelines in order to ensure their ability to generate power. So PJM is very different in that regard, but we've got to have that pipeline capacity in order to bid into the market. So we do think it is different. And as you know, ERCOT really doesn't have the interconnect to allow power in to any degree from outside of ERCOT. So when they have a problem there, unfortunately, it's it gets entrenched, if you will.
Ryan Connors: Got it. Got it. Okay. Now on DELCORA, I wanted to just wonder if you could drill down for us a little bit, Chris, on your comments. You mentioned that one of the issues was the rate stabilization fund, is one of the issues that we sort of raised in that adverse proposed ruling. Can you just let us know, just conceptually, what exactly they took issue with and how you're getting them on board and more comfortable there on that particular issue?
Chris Franklin: Yes. I'm going to oversimplify it just for the call, but I'm happy to go into it in more detail. But a lot of it has to do with putting the credit on the bill, on the customer's bill, right? So the easiest way to do these things is to say, the customer used so much in volume and the base facility charge. That comes to a total, then subtract out the dollars that would come in and offset it from the trust. And then you have a net total. That, to us, was the simplest way to do it. I think because the rate stabilization is not in the tariff, technically, there are some of the advocates who believe that it should not be on the bill. And I think we're willing to concede that at this point. The -- listen, there's a lot of ways to skin the cat. We happen to think that, that was the most efficient way to do it. But certainly, there's other ways to give those trust dollars back to the customers. And so we've now proposed to remove it from the bill. And I think we've addressed the issue. We'll see.
Ryan Connors: Okay. I'm glad you oversimplified it because that's -- it's not as complex as I can take down. Now on the -- one thing -- the last thing on the PUC, with that decision looming now, what's going on with that fifth seat there? I mean it seems to me -- I know you don't have any inside baseball on that necessarily than anyone else. But seems like that's coming up on a year since that seat was vacated. That seems like a longer time than usual. Is that the case? And I guess what's driving that? I assume maybe COVID and so forth. But any color there on that open seat?
Chris Franklin: Yes. I mean, listen, I'm an observer like everybody else. But the governor did send a name over. He's in the same name over twice and the Republican center, the governor is Democrat in Pennsylvania, the Republican senate that has to approve the PUC commissioners is public and so the Senate has decided not to approve that individual twice now. And so, it's a bit of a stalemate. And as you know, from -- Ryan, I know how close you watch the commission here in Pennsylvania; there have been plenty of votes that have been a two-two vote. And so it's a difficult situation. So I think and I know it's on the mind of the governor. And I also know that Commissioner Sweet, his seat is coming up in the next month here as well. So now we'll have potentially two seats. I haven't heard formally whether Commissioner Sweet is staying or whether he will retire. But we'll have to see how that develops. But then you have two names that need to come over to the Senate. So I'd assume in all of that, Ryan, there will be a deal between the Republican Senate and Democratic Governor.
Ryan Connors: Okay. Yeah, we'll watch that one. And then lastly, if I could sneak one more in, Dan. This is, I guess, for you more. But if you could help us gas novices out a little bit. Obviously, you had purchased gas costs really ramped in the fourth quarter. I assume based on the weather, that's going to be another pretty big sequential ramp there. You've given the annual guidance, but can you help us out on the seasonality on that line, how to think about that as we move into the first quarter? It just seems like it really jumps all over the place.
Dan Schuller: Yeah. I think for now, what we probably need to do is, kind of, point you back to what we had shown before in terms of the usage percentages, and we showed those, we showed those again at the Analyst Day, what's potentially used in each quarter and then the net income for the quarters, you go to the Analyst Day presentation, page 41, you'll see what we showed is really an approximate breakdown by quarters, and of course, these are ranges because there is that seasonality in gas usage and also to some degree on water usage. But at least it gives you a guide to help quarterize. So I think as I said at the Analyst Day too, we have the ability to -- over time, as we start to see the way this manifests itself in the financials, we'll all be able to refine what that quarterly mix of net income should look like. That slide that I mentioned, it's actually in the appendix for today's presentation as well.
Ryan Connors: Okay, good. Thanks again guys.
Dan Schuller: Yeah. Thanks, Ryan. Take care.
Operator: And next, we'll go to Durgesh Chopra from Evercore ISI. Your line is open.
Durgesh Chopra: Hey guys.
Dan Schuller: Hey, good morning.
Durgesh Chopra: Hey, good morning guys. Thanks for taking my question. Just one quick one. On the repair tax catch up filing, can you just remind us what was the original plan for Pennsylvania rate base falling? Was it late in this year?
Dan Schuller: Yeah. So I guess, you're asking about the repair tax, the people's repair tax or the Aqua Pennsylvania rate case?
Durgesh Chopra: I'm sorry. So you mentioned -- yeah, I’m mixing, I guess that you -- you mentioned that the…
Dan Schuller: Yeah, yeah. Let me take you there. So that's really the catch-up deduction on the repair. And for Peoples, for the PNG subsidiary, what we had originally proposed there was a splitting of that catch-up deduction with some of that going to the customer, with some of that coming to the shareholder. But what the piece to the shareholder would have done is it effectively would have just kept us out of rates longer. It was about adding to a stay out period, it wasn't ever about incremental earnings. So the outcome here, the conversations that we've had with the statutory advocates is really leading to a situation where a 100% of that catch-up deduction would go to the customers and over a five-year time period. And what that means is we would be backing for rates on a more normal cadence. So rather than stay out because we had some of that catch up, we would just come in sooner than that. But think about it as no impact on the guidance earnings because the guidance earnings are the 2021, 2022, 2023 and really shouldn't be any impact beyond there because we'll have new rates at some point.
Durgesh Chopra: Understood, and thanks for clarifying that, and yes, I did have a green piece, because I was mixing the water rate case with that. So, thank you for clarifying that, essentially -- basically, you have the customer credit and on the gas side, you'll be going in for more regular rate increases. That's sort of -- that's the end result that it's approved. 
Dan Schuller: Yeah, we'll just go in sooner than we would have otherwise.
Durgesh Chopra: Perfect. And then one last one real quick. Any color on timing of the equity in the plan, the incremental equity will -- is this sort of more predicated on as you announce deals, or do you have a particular time plane within the next few years when you plan to do this?
Dan Schuller: Yes. What we said on the last call is really we'd give more specificity there as we get closer to those issuances and we're not really at a point where we can do that today. As you think about that forward sale that we did last August, we would look to use that equity at the time that we do the DELCORA transaction. So we draw that down with a little bit of cushion before the transaction itself. And then on further issuances, we'll give you more details as things get closer.
Durgesh Chopra: All right. Thanks, guys. Much appreciate the update today.
Dan Schuller: Thanks, Durgesh. Take care.
Operator: And next, we'll go to Travis Miller from Morningstar. Your line is open. 
Travis Miller: Good morning. 
Dan Schuller: Hey, Travis
Chris Franklin: Hi, Travis.
Travis Miller: If I could, I wanted to go back to the Texas thing and I think a little higher level, get your thoughts here. And it seems like whatever utility industry has some kind of big headline issues and that happens, it leads to industry-wide policy changes and developments. And I was wondering if you kind of put a crystal ball here on and look into it, what type of water-related policy changes do you think might take place either in Texas or even more broadly across the water industry? 
Chris Franklin: Yes. I would think that one of the outcomes is sort of, what I alluded to a little bit a bit ago, which is additional redundancy on power. What that -- what form that takes probably varies by company. As I mentioned, we have a system of small community wells across Texas, where that's how we serve our customers in a large part, we have one surface treatment plant, but when you think about that versus the city of Houston versus Austin and the challenges that larger systems have in-place redundancy. And then as you think about pump stations throughout and for wastewater as well, I would think that power redundancy is going to be a big component. And that can be a cost item of a pretty good-sized cost item depending on what people have in place today. As you know, the challenges around winter weather just didn't appear to be as large of a risk in areas like Texas as they did in the north where we've hardened ourselves to that kind of weather before. Dan, you have any add to add that? 
Dan Schuller: No, I think you're right on there, Chris. 
Chris Franklin: Yes.
Travis Miller: Okay. And then on the gas side of it, kind of a similar thing. It appeared that the gas distribution utilities down there did quite a good job in terms of reliability and despite the pricing spikes, but pretty good on the reliability. Do you think this perhaps changes some of the conversation that's been going on in terms of electrification of heating and maybe moves gas up a little bit in public perception. 
Dan Schuller: Well, certainly, what we saw there in Texas, where about 17%, 18% of the power comes from wind power. When that wind power goes down, you need generation to come in to fill that gap and natural gas stepped in to fill that gap. But given that natural gas production facilities are reliant on power as well, when rolling blackouts started, they were impacted servicers couldn't get out to service wells, especially to deal with handling the produced water, so things started to freeze up. And that's what, kind of, created the issue for the natural gas companies. They too need to -- if we're going to -- if we're going to continue to have fairly dramatic weather, winterization matters for them, too. And of course, if you think about gas supplies like in the Marcellus or the Utica, these -- the whole natural gas supply chain is pretty well winterized to make sure that it's protected from those events. 
Chris Franklin: Yes. And when you think about conversions, we just don't see them in the areas where we serve conversions from natural gas to electric for heating. We just don't see it. I would assume that we wouldn't see it further here. Fortunately, many of the customers, most of the customers we serve still on top of the Marcellus shale region. So we're unique in that the local gas is right there. And obviously, we're heartened for winter time. Winters have always been cold in Pittsburgh and even in some areas of Kentucky, West Virginia, we serve as well. So I think that we're well-positioned not only to hold our customers but developers continue to put natural gas in new developments in the regions where we serve. So I don't see any movement in the areas we serve away from natural gas to electric.
Dan Schuller: Absolutely, Chris. In cold regions, there's no more efficient heating source than direct-fire natural gas.
Travis Miller: Sure. I appreciate that. Thank you very much.
Operator: And next, we'll go to Ryan Greenwald from Bank of America. Your line is open.
Ryan Greenwald: Good morning guys.
Dan Schuller: Hey Ryan.
Chris Franklin: Hey Ryan.
Ryan Greenwald: So, to clarify on the commentary around Peoples gas and the catch-up component, under the terms of the settlement, you'd expect to file in 2023 for new rates in 2024? 
Dan Schuller: I think about it. In that timeframe, I mean you'll see -- look for the settlement agreement when that comes out on March 11th, and it will give clarity around these things.
Ryan Greenwald: Got it. And then can you guys just kind of help frame how you're thinking about the COVID impacts in 2021 here? And then maybe looking out a bit further, any thoughts around more structural shifts in low demand among classes and sustainability cost cuts?
Chris Franklin: Yes. Let me start and I'll kick it over to Dan. First of all, like most utilities and probably most companies, we remain with the majority of our employees coming to work every day, servicing natural gas and water and wastewater customers. So, the majority of our people have never stopped working in the field. Our two primary offices in Pittsburgh, and in the Philadelphia area, both remain largely skeleton crews. But we see a return to a rotation of work. Hopefully coming in the next month or so, where we could get a third of our employees in a given time and rotate them through. So, I think from an employment standpoint, we're in pretty good place. Now, our bad debt expense continues to be one that we're working through here. We obviously have receivables aging at a level we've not seen before. Having said that, in most areas where we do business, we do have the ability to take a reg asset and see if we can get some recovery of those. And I do believe that once we're able, in every case, to get back to full collections mode, we will get payment from those who can afford to pay and will help provide help to those who can't. And I -- given the fact that we reserve on our accounts -- accounts receivables, I wouldn't expect to see a major issue there because that expense has already been taken as we go. We also continue to collect any additional costs. For example, we have some retrofitting going on in our offices. So, we continue to collect those costs and aggregate those. I would not consider those to be material at this point. But nevertheless, they're -- as we prepare to bring people back into the office, we want to capture those costs. And Dan, why don't you kick in from here?
Dan Schuller: Yes. Thanks Chris. And Ryan, I guess, as you think about where the consumption occurs and will we continue to see more people working from home and higher consumption there, I think, marginally, but I think lots are ready to return to work and sort of get back to normal and with that, you'll see that residential consumption will come down a little bit more toward normal. And commercial consumption will naturally pick up as people are in the business, in the workplace and using local businesses and such, you are our customers in that commercial category. So, I think this -- I think we kind of come back to a more normal picture of where the consumption occurs. If it's when that is, is first half of the year by, I think second half of the year, we start to see some return to normalcy once vaccinations are more widespread.
Chris Franklin: Yes, what I'll add to that I'm involved with the large employers here in the Philadelphia region and an anecdotally as we get together, we expect that probably 80% of employees will be back to their normal schedule, 20% will not. And that could be a rotational aspect of that 20%, but they do expect to see 80% back in the office. 
Ryan Greenwald: Thanks Chris. I'll leave it there. Thanks guys.
Dan Schuller: Thanks Ryan.
Operator: [Operator Instructions] Next, we'll go to Jonathan Reeder from Wells Fargo. Your line is open.
Dan Schuller: Hey Jonathan.
Chris Franklin: Hey Jonathan.
Jonathan Reeder: How are you guys doing? A couple of clean up questions perhaps. So, how should we view the benefits to WTRG of the repairs tax settlement, or what was your motivation for reaching, if it doesn't help push out the timing of the next rate case as you guys proposed? 
Chris Franklin: Well, I think about it in this term, Jonathan. Listen, we are still in the midst of COVID. Regulators are doing their job and trying to hold utility costs down. And so it's in that atmosphere that we're in right now. And so I think as a Pennsylvania regulator, they're thinking about what can come to the customer and not the shareholder at this point. I think that's happening across the country. And so I just put that as a backdrop, I mean, there's a whole lot of discussions that occurred in the context of that. As Dan said, we can't talk a lot about a settlement that is not fully public or inked yet, I should say, approved yet by the ALJ and the PUC. But I mean, think about it in that context. 
Jonathan Reeder: Okay. That makes sense. Maybe a bit of a goodwill gesture though. So are you still trying to reach a settlement with Delaware County on the DELCORA deal, or is that ship sale at this point? 
Chris Franklin: It's a great question. I would love a settlement with Delaware County. I would love a settlement with Delaware County. I think they are spending millions -- millions of dollars of taxpayer money to fight a battle that ultimately, I don't believe that they can win. And so if there was a way to settle this, then I would like that. We -- I think now probably everybody is focused on the next couple of weeks to see what Pennsylvania Public Utility Commission does. So let's see how that decision comes out, and maybe there's an opportunity to get back to the table. But I'll speak for the Essential team, we'd love to see a settlement. 
Jonathan Reeder: Okay. I could kind of segue into that with the PAPUC, do they have the option to extend the March 26th statutory deadline in order to, say, open the record and consider new evidence, or what exactly are the rules around their ability to consider these more recent developments with the ALJ concerns? 
Chris Franklin: Yes, yes. So there are several -- and Kim Joyce has outlined these. We had our Board meetings the last two days. And so this is widely discussed inside. The commission has several options. One, obviously, is an approval. And remember, there's four commissioners. Two would be, I'll call it, a stale mate, a 2-2 vote, which then it would say.  Three would be a denial. And four would be something like a remand where the commission could say," Aqua Essential has done more work on the issues raised by the ALJ. ALJ, you should reconsider the work and the evidence and sit back to the ALJ, and then the ALJ would send it back up to the commission again, which I think is a possibility as well. So those are probably the more likely options that the PUC has in front of them. 
Jonathan Reeder: Okay. So if it is 2-2 is like what's the path for, then it does -- it's not approved, but it's not denied or? 
Chris Franklin: Yes. It could just sit for a while until the commission as another member or one of the members changes their mind. I am hopeful that, that's not the case, Jonathan, but we'll see in the next couple of weeks. 
Jonathan Reeder: Okay. We will be watching and good luck with that. Appreciate for additional…
Chris Franklin: Thank you. You got it.
Dan Schuller: Take care, Jonathan
Operator: And at this time, I'd like to turn it back to Chris Franklin for closing remarks. 
Chris Franklin: Thanks, everybody, for joining. As always, Brian, Dan, myself, the whole team here are open for follow-up questions. Should you have the open issues that you want to chat about after this. Thanks for joining us today. 
Operator: And that does conclude our call for today. Thank you for your participation. You may now disconnect.